Operator: Good day and welcome to the Arch Resources Inc., First Quarter 2023 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Deck Slone, Senior Vice President of Strategy. Please go ahead.
Deck Slone: Good morning from St. Louis, and thanks for joining us today. Before we begin, let me remind you that certain statements made during this call, including statements relating to our expected future business and financial performance may be considered Forward-Looking Statements according to the Private Securities Litigation Reform Act. Forward-looking statements, by their nature, address matters that are to different degrees uncertain. These uncertainties, which are described in more detail in the annual and quarterly reports that we file with the SEC may cause our actual future results to be materially different than those expressed in our forward-looking statements. We do not undertake to update our forward-looking statements, whether as a result of new information, future events or otherwise, except as may be required by law. I would also like to remind you that you can find a reconciliation of the non-GAAP financial measures that we plan to discuss this morning at the end of our press release, a copy of which we have posted in the Investors section of our website at archrsc.com. Also participating on this morning’s call will be Paul Lang, our CEO; John Drexler, our COO; and Matt Giljum, our CFO. After our formal remarks, we will be happy to take questions. With that, I will now turn the call over to Paul. Paul.
Paul Lang: Thanks Deck and good morning everyone. We appreciate your interest in Arch and are glad you could join us on the call today. I’m pleased to report that the Arch team has again demonstrated operational excellence in our core metallurgical segment in the first quarter, while delivering strong value driving financial results across the entire enterprise. Overall Arch generated the adjusted EBITDA of $277.3 million during the period driven by significant quarter-over-quarter improvements in the average selling price, unit cost and cash margin achieved by our coking coal operations. In short, the team continue to press ahead on all fronts with our simple clear and actual plan for long-term success and value creation. During the quarter, the Arch team showcased the company’s expanded cash generating capabilities by achieving more than a 31% sequential increase in the average cash margin for our core metallurgical segment, delivering an 8% sequential increase in adjusted EBITDA and generating almost $96 million in discretionary cash flow, despite a nearly $170 million built in working capital. We drove forward with our intense and ongoing efforts to streamline and strengthen our balance sheet by retiring in our remaining convertible securities, reducing our already modest indebtedness by an incremental $27 million or 58% and maintaining a net cash positive position of $71 million. And finally, we generated significant value for our shareholders through our robust and precisely structural capital return program, declared a quarterly dividend of $47.8 million or $2.45 per share, and deploying $77 million to settle last of our convertible securities and repurchase shares, thus avoiding dilution of approximately 554,000 shares. It is worth pausing here to reflect more on this last item, our capital return program, given the tremendous progress we have made since its relaunching in February last year. Since that relaunch just a period of over 12-months, Arch has deployed more than $1 billion through the program, consisting of dividend payments of more than $571 million inclusive of the just announced June dividend and share repurchases along with convert convertible security settlements of more than $444 million. I might add that through these share repurchases and convertible security settlements, we have avoided an aggregate dilution of 3.5 million shares. Year-over-year a longer time horizon, Arch is now deployed more than $1.8 million through our capital return program over the course of the past six-years, demonstrating our cash generating capabilities as well as our strong commitment to rewarding our shareholders. As we have stated repeatedly, we believe our capital return program has proven to be tremendously effective in driving shareholder value and do the capital allocation model is appropriate, durable and well aligned with shareholder interests and preferences. As a result, we fully expect this program to remain the centerpiece of our value proposition for the foreseeable future. Before turning the conversation over to John for additional color on the operations, I would like to take a moment to discuss the dynamics we are seeing in the global coking coal markets. As you are no doubt aware, seaborne coking coal prices have retraced significantly in recent months, due largely in our view to global macroeconomic concerns. It is early March, the price of High-Vol A coking coal loaded in a vessel on the U.S. East Coast has declined about 25% from $328 to $247 per metric ton. While that is a significant pullback clearly, it is important to point out here that Arch’s low cost mines still generate a healthy cash margin, even today at stepped down prices, which illustrates again the value of being in the lowest quartile of the cost curve. But particularly interesting about pullback and seaborne coking coal prices, is that we continue to see many constructive indicators in the marketplace. For instance, global steel prices continue to trade at levels around 50% above their November loans. Moreover, the vast majority of the blast furnace capacity idled in Europe last year in the face of weak steel demand around 25 million tons by our count has now restarted and lead times for new orders of finished steel are twice what they were just a few months-ago. At the same time, coking coal supplies remain constraint after years of underinvestment and the situation has been exacerbated by increasing regulatory pressures in all jurisdictions. This combination of circumstances is particularly evident in Australia, where coking coal exports declined by more than nine million tons in 2022, versus the already depressed low of 2021 and a follow an incremental 15% on a year-over-year basis during the first two-months of 2023. Meanwhile, exports for the United States and Canada, the next two major sources of high quality seaborne coking coal were only marginally higher in 2022 than 2021, but continue to significantly undershoot pre-pandemic levels, despite the sustained period of historically strong pricing that has prevailed in recent years. Finally, Russia, the other large supplier in the seaborne coking coal market remains a significant question mark in the face of continuing hostilities in Ukraine, which in turn has created various challenges to move in these products due to credit considerations and logistics. While most of the Russian volume continues to find a home in global markets, we believe that mounting cost pressures and increasingly difficult business climate and heavy discounts for the product could make it difficult to maintain this dynamic indefinitely. Given these supply constraints as well as are substantial, in ongoing increases in steel demand blast furnaces, capacity expansions across Southeast Asia, we remain constructive on hot metal output in the intermediate, as well as the longer term. In summary, we continue to be sharply focused on our strategy for value creation over the longwall. In recent quarters, we have expanded and strengthened our world-class coking coal portfolio, extended the global reach of our high quality coking coal products, restored our balance sheet to a net positive cash position, greatly simplified our capital structure and extended our industry leading ESG performance. We believe this progress across every facet of our business sets the stage for continued success, strong discretionary cash generation and robust capital returns to the future. With that, I will now hand the call over to John Drexler, for some further thoughts on our operation performance. John.
John Drexler: Thanks, Paul and good morning, everyone. As Paul just discussed, Arch team maintained excellent operational momentum in Q1 as highlighted by sequential improvements, and our average selling price, cash cost and cash margin in our core metallurgical segment. The upshot of this strong execution was an EBITDA contribution of $263 million from the metallurgical segment in Q1, which I view is clear evidence of the substantial and stepped up cash generating capabilities of our coking coal franchise post the Leer South plant. The metallurgical segments cost performance during Q1 at $82.66 per ton stands out is particularly noteworthy in my view, despite ongoing inflationary pressures that have pushed the overall cost structure of many of our publicly traded metallurgical peers higher, Q1 marked Arch’s best cost performance in the past six quarters, again, underscoring the positive impact of the Leer South plant on our entire coking coal portfolio. I might add here that the continued productivity gains and volume growth that Leer South through 2023 will result in another step up in volumes in 2024, as we progress into still more favorable geology. Given this tailwind, we believe that our reiterated cost guidance of $84 per ton at the midpoint for full-year 2023 is appropriate and achievable and we are equally positive about the outlook for 2024 and beyond. Supplementing this strong contribution of our metallurgical business, our legacy thermal segment once again generated a substantial amount of cash flow as well despite the continuation of sub optimal rail service in the Powder River Basin, a significant pullback in international thermal prices and geologic challenges that are West Elk longwall operation in Colorado. In total, the thermal segment contributed $46.3 million in segment level EBITDA in Q1 while expending just $5.5 million in capital. That brings the total EBITDA generation for this segment to more than $1.3 billion over the past six and a half years, against a total of just over $144 million in capital spending. The quick math then is that we have generated in excess of nine times more EBITDA than we have expended in CapEx over that timeframe, which tells you just how effective our harvest strategy has been so far. Looking ahead, we expect only a modest contribution from the thermal segment in Q2 due largely to the geologic challenges that West Elk and the expectation of Q2 being a typical shoulder season quarter in the Powder River Basin. As most of you are aware, West Elk has maintained a fairly stellar performance over the course of the past 15-years or so. However, late in Q1, the mine encountered a clay layer in the coal seam that has resulted in a short-term degradation and our overall product quality and production volume. We expect the impact of this inseam dilution to continue through the middle of the third quarter, at which time we expect to be able to have the longwall in a more favorable area of the Reserve Base. Because of this issue, less West Elk sales volumes could be down as much as one million tons in 2023 to around 3.5 million tons, which will lead to significantly constrained exports shipments over the next two quarters. In total, we now expect West Elk to export only around 750,000 tons, all of which is currently priced and reflected in the guidance table along with around 2.75 million tons of domestic volume. With this, we expect total EBITDA from the thermal segment to be modestly positive in Q2, better but still constrained in Q3 and back to business as usual status in Q4 and thereafter. On the marketing front, the Arch team has continued to make advances in expanding and strengthening our metallurgical contract book since 2023 began. As Paul noted, coking coal prices have softened in recent weeks in the face of growing anxiety about the strength of the global economy as a whole. Fortunately, Arch has already entered into commitments for more than 85% of our anticipated coking coal volumes in 2023, based on the midpoint of guidance, and is in advanced discussions for a significant portion of the remainder. While the price for much of this volume will be tied to published market prices closer to the time of shipment, we believe this strong appetite for our products, even in the face of a weakening market environment is a clear indication of the outstanding value in use of our high quality products -. We should also note that while we are essentially sold out in our thermal segment for 2023. We currently show that our committed thermal sales volume, which stands at 71 million tons, exceeds our thermal guidance per sales volume, which stands at 67 million tons at the midpoint. Given low natural gas pricing and ongoing rail issues in the Powder River Basin similar to prior years, we expect that as the year proceeds, we could enter into discussions with customers about carrying over thermal volume into future years. Of course, as in the past, we will only entertain such requests if we are certain we are preserving the full economic value of the existing commitments. We currently expect the carryover volumes could be 5% of our current Powder River Basin commitments. Now, let’s turn our attention to our single most critical area of performance, Safety and Environmental Stewardship. During Q1 Arch’s subsidiary operations started the year in a strong fashion on pace with last year’s record safety performance, and once again recorded zero environmental violations and zero water quality exceedance. In total Arch’s subsidiary operations have now operated a total of more than three years without a water quality exceedance. In addition, the Leer mine in the Leer and Leer South preparation plants were recently honored by the state of West Virginia with Mountaineer Guardian awards for Safety Excellence. Leer’s award represented the seventh time it has been so honored in the past eight years. The State of West Virginia also honored the Leer and Beckley mines, along with one of Arch’s idled operations, with the awards for reclamation excellence. In addition, the West Elk mine was honored by the state of Colorado with the outstanding safety performance award and excellence in mining reclamation award. I want to congratulate our operations for these tremendous honors, and thank the entire workforce for their deep and abiding commitment to our most important corporate values, safety, environmental stewardship, corporate citizenship and the highest ethical behavior. We are truly fortunate to have such a talented, professional and high performing team. With that, I will now turn the call over to Matt for further discussion on our financial performance and results. Matt.
Matthew Giljum: Thanks, John and good morning, everyone. From an earnings perspective, Paul and John have already covered the highlights with improved productivity and favorable pricing in the metallurgical segment driving sequential improvement in EBITDA and pre-tax earnings. I will keep my comments focused on cash flows, liquidity and capital structure. Starting with the quarter’s cash flows operating cash flow in Q1 totaled $126 million as we experienced the build and working capital of nearly $170 million. We had correctly anticipated the direction of the working capital change, but underestimated the amount of the increase. Notably inventories at March 31st were at levels we haven’t seen in nearly a decade. And current liabilities haven’t been this low in nearly two-years, or well before we started to see inflation accelerating. I will get into this in more detail in a few minutes, but clearly, we expect to see much of this build unwind and benefit cash flows over the remainder of the year. Capital spending for the quarter total just over $30 million, which was below ratable, based on our full-year guidance. In the financing section of the cash flow statement, I wanted to point out two significant items. First of all, we received over $43 million in the quarter from the exercise of outstanding warrants. The warrants can either be exercised at the election of the holder on a gross basis, with the holder paying the exercise price or on a net basis with no cash payment. In the quarter, we saw the exercise of nearly 800,000 warrants with the vast majority of those opting for a gross settlement. The other item I wanted to highlight was the repurchase of convertible bonds during the quarter as we utilize proceeds from the warrant exercise, along with the discretionary cash flow to repurchase the remaining convertibles. As we discussed last quarter, we have prioritized the settlement of the convertible bonds over the course of the last year and are happy to report that all the convertibles have now been settled or repurchased. Finishing up the discussion of cash flows discretionary cash flow for the quarter totaled $96 million and consistent with the capital return formula our Board has declared a dividend of 50% of that amount, or $2.45 per share. The dividend will be paid on June 15th to stockholders of record on May 31st. We ended the quarter with cash on hand at $222 million and total liquidity of $348 million, including availability under our credit facilities. Cash and liquidity at quarter end, we are at the lower end of our target range as we prioritize the repurchase of the remaining convertibles. Moving on to the remainder of 2023, I wanted to revisit the working capital discussion and how that could play out over the rest of the year. Looking first at accounts receivable, the pricing dynamics that we discussed last quarter have reversed at least quarter-to-date. The provisional pricing will likely be higher than the price we will realize on Asian export volumes following the ultimate true up later in the year. We would expect that dynamic to benefit second quarter cash flows. On the flip side, those higher provisional prices are likely to be offset to a large degree in terms of working capital by an expected increase in export shipments overall during the quarter, as well as currently anticipated vessel timing. Moving to inventory. While we don’t expect to remain at the peak levels for March, some of the increase we have experienced should be viewed as permanent, as the increase in volumes from Leer South, the overall increase in export activity and the need to hold more critical spare parts to protect against supply chain challenges require higher inventory levels. Based on these factors, we currently expect the overall change in working capital to be slightly favorable in the second quarter. Trends in the back half of the year will be largely dependent on the prevailing metallurgical prices. But assuming prices at current levels, we would expect a more significant benefit in the back half, with much of that weighted toward the fourth quarter. Next, I wanted to provide some additional detail around our capital structure and share count. As I mentioned, there were two significant steps towards simplifying the capital structure in Q1. The repurchase of the remaining convertibles and the exercise of nearly two-thirds of the remaining warrants. The convertible repurchase had two benefits. First it reduced our quarter end diluted share count by over 420,000 shares as compared to year end levels. And second, it eliminated any future dilution that would have resulted from ongoing dividend payments. With regard to the warrants, the first quarter exercises resulted in an increase in the basic share count, but the diluted share count already included the impact of the warrants based on the assumption of a net settlement. While the basic share count increased more than one million shares in the quarter due primarily to the warrant exercises, there was not a similar increase in fully diluted shares. And in fact, we actually reduced the fully diluted count over the course of Q1 by 300,000 shares through the convertible repurchase and share buybacks. We now have just over 450,000 warrants that remain outstanding and given their terms would expect those to be exercised in the next couple of quarters. Going forward to the extent we have additional warrants exercised on a gross basis, we will use the cash proceeds to reduce dilution just as we did in the first quarter. While the exercise of the remaining warrants will increase the basic share count, there should be no change in the fully diluted count. And as we continue to execute on the second 50% of the capital return program, we would expect both the basic and the fully diluted share count to continue to decline overtime. Finally, while we have repurchased all the convertible bonds, the caps call that we purchased at the time of the issuance remains outstanding. The caps call is not factored into our reported fully diluted share count or otherwise recorded in our financial statements, but the intrinsic value of the cap call remains approximately $62 million, representing more than 520,000 shares at yesterday’s closing share price. Before turning the call for questions, I wanted to briefly highlight a few items from our operational and financial guidance. For the metallurgical segment, we are reiterating our sales volume and cost guidance and we anticipate a roughly 10% increase in volumes in the second quarter, with additional increases in the back half of the year. John has already noted the reduction in our thermal sales volume guidance, and we have increased our cost guidance to reflect the impact of the lower volumes with expected full-year costs now in the range of $14.50 to $15.50 per ton. We continue to expect full-year capital spending of $150 million to $160 million and also maintaining our previous guidance for SG&A, net interest expense and cash taxes. With that, we are ready to take questions. Operator, I will turn the call back over to you.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Lucas Pipes with B. Riley Securities. Please go ahead.
Lucas Pipes: Thank you very much operator and good morning everyone. My first question is on the met-coal cost side and good job there in the first quarter. And I wondered if you could speak a little bit on the outlook there specifically with the 10% increase in volumes expected for Q2. Are there any offsetting factors that should lead to even further cost improvements from here like longwall moves or what are you seeing that would really appreciate your color as it relates to the met-coal costs? Thank you.
John Drexler: This is John Drexler. In the metallurgical segment, we have been making great progress as Leer South has ramped up and gotten to volume levels that we expect to be able to move forward with, we are proud of the team in the East and managing overall costs. But we really benefited from kind of getting all of that production in line. We have still got a wide range in the cost guidance. We do expect a step up and opportunities to move more volumes and the back half of the year. If you look at kind of the cadence of our shipments, it would imply that we are kind of approaching that 10 million ton a year run rate in the back half of the year and we need 4.9 million tons of sales to get to that. So that should put us in a good position to be able to achieve the cost targets that we have out there. We still do see inflationary pressures, supply chain pressures that once again, the team is managing those well and will continue to move forward, we think with a great metallurgical portfolio and the ability to demonstrate costs in the lowest quartile in the industry.
Deck Slone: Lucas it is Deck, I would add that look in the first quarter while we only shipped 2.1 million tons, we actually produced 200,000 tons more than that on the production side. So Q2 probably won’t look terribly different, you know, in terms of production, and that is really the bigger driver on the cost front. So while certainly we will be looking for those incremental improvements, given the production won’t change that much in all likelihood in Q2 from Q1. You maybe wouldn’t expect a further step down in Q2. But as John said, Q3, Q4 its production continues to climb that is certainly our target is, is to continue to drive those costs down.
Lucas Pipes: That is very helpful and follow-up question related to the cost side. How would you frame up marginal cost globally at this time and where would you say you were asked to sit on the global metallurgical coal cost curve?
Deck Slone: Lucas this is Deck and that is that is a tough question. But let me give it a go. And let me start with just talking about the U.S. and here is maybe how we frame that, if you look at some of the public guidance out there for costs, it seems that the average cost in the U.S. for coking coal would be around $110, again, just based on kind of the public guidance that we see from a range of competitors. And if that is the case, you would certainly expect that the marginal cost of production would probably be call it $20 higher than that, for that, you know, that highest cost increment that top 10% in the cost curve. And so given that fact that $130 or so in the U.S., you know, when we are guiding a $4 at the midpoint, clearly that shows the sort of significant advantage we have in terms of cost structure that $45 spread is really pretty fundamental to our value proposition in the marketplace. And I guess I would add this, as John just said, the goal is to move to towards 10 million tons next year. And as we do move towards that 10 million tons, we believe we should be able to at least maintain our costs, who knows, maybe we can drag them down a bit further. Meanwhile, the rest of the industry is going to be fighting inflation, so that 130 marginal cost could grow. There is no counterbalance for most of those producers. They are not looking at reductions in costs and the way that we may be. So we think we are really exceptionally well positioned in the U.S. There certainly are large Australian producers that have legacy asset surface mines that aren’t rolling those that are very low on the cost curve, that would probably occupy that first quartile. I would say we are solidly in the second quartile and then when you factor in the fact that our product quality is what it is, from a margin perspective, we may be better than that. So again, we feel very good about our position.
Lucas Pipes: That is very helpful color. And I will try to squeeze a third one in here really quickly on the thermal side. Obviously, lots of headwinds in the domestic market with where natural gas prices are and I wondered if you could provide a little bit of color as it relates to 2024 thermal coal, fixed price commitments and roughly where those commitments have been coming in roughly. Thank you very much for your perspective.
Paul Lang: Yes, Lucas, it is the thermal markets, as we have seen have weakened with what we have seen natural gas pricing. I think we continue to feel we have got a great book already established for 2024 has locked in good pricing, prior to seeing some of the weakness that we have seen more recently here for a significant portion of that value. As we indicated in our prepared remarks as well, given the low price natural gas, given some of the pressures in the marketplace, we expect that we may see up to 5% of our committed volumes, roll over into 2024. We will make sure that we are capturing all of the value of any time that does carry over into 2024. But once again, I think we are feeling good about the establishment of the book that we have for next year and how we will move that forward.
Deck Slone: Lucas it is Deck again. I would only add that in the last - even the last few weeks, we have added a little bit to our position, even for 2023 at solid prices. So while there certainly is pressure out there, there’s no doubt and natural gas prices are low, we are finding opportunities and that is largely driven by the fact that. Even now, inventories and utilities probably aren’t where they would like them to be. So there still is some modest opportunity, but there is no doubt that the thermal market has gotten tougher.
Lucas Pipes: Alright. I appreciate all the color. Thanks again and best of luck.
Paul Lang: Thank you Lucas.
Operator: The next question comes from Nathan Martin with The Benchmark Company. Please go ahead.
Nathan Martin: Hey good morning guys. Thanks for taking the question. Maybe just fallen on Lucas’ last comments on the thermal market. I appreciate your thoughts already there. I guess maybe from a production standpoint, I also notice Coal Creek was down meaningfully quarter-over-quarter. Any updated thoughts on that?
John Drexler: Hey Nate you know like Coal Creek, as we have been reporting, we have been spending a significant focus on putting Coal Creek in a position to have substantial reclamation completed. We are at about 80% completed with the reclamation there. We do still have some commitments from a very small active area of that operation that we are able to continue to supply with a very small footprint from a property perspective and from an operations perspective support perspective. So we kind of expect this as we move forward, and things are continuing to play out at Coal Creek as we expect.
Nathan Martin: I appreciate those thoughts John and then maybe when we look at the thermal shipment guidance in general, how much of the decrease would you guys say that from West Elk, it would seem maybe about a million tons or so there do the geology and how much is coming from the PRB?
John Drexler: Yes Nate if you look at the volume impact, as we indicated with the challenges that we have seen at West Elk that the team there continues to manage very well and we expect to get through as we move to another favorable area of the Reserve Base in the third quarter. About a million tons of the overall guidance reduction comes from West Elk with the remainder of that being that rough 5% expectation of carryover from our committed volumes into the following year.
Paul Lang: You know I just want to be clear that we obviously have these tons committed. And we have seen this play out many times. So we are trying to, I think get ahead of this and give everyone a good view of what is the rest of the year could play out, which is really the source of the guidance that we are providing on the thermal side. Look, I think what is important, though, is if cons rollover, as John said, say, 5%, we intend to retain that value or, it will be done at a price that is acceptable to us in the future.
Nathan Martin: Makes sense, Paul I appreciate that and maybe shifting over to the next side, it looks like you guys - a little bit more on the domestic side. So maybe we could get a little more color about the opportunity there versus how that compares specifically to what you are seeing in export market?
John Drexler: Yes, Nate, I think, as we work through the quarter, the first quarter, there was some opportunity for additional domestic commitments. If you look at all the math there, we were pleased with the price we were able to obtain on those fixed price volumes for the full-year. The remainder of the opportunity we see as we look for the rest of the year is primarily going to be into the export market, we believe there could still be some opportunities, if need to be and we stand at the ready if things are there and we see appropriate value, but we see most of the remaining value, probably in the export market.
Paul Lang: We have seen at times, underperformance by other producers at times the North American market. And so, we stand at the ready to step in if we have the volumes and if it is economically attractive, that is typically for, you know, a few trends here. If you train there, rather than anything significant, that last North American deal we did was probably the last one done, it was very late in the season. And as you look at it today, it seems pretty prescient, because given where prices are today. Those net backs that were achieving on those domestic sales exceed what the net back we would achieve today on current list of seaborne prices. So we feel good about way we have managed that. But as John said, as we go forward, really, the focus is going to be on the seaborne markets.
Nathan Martin: I appreciate those thoughts, guys and then maybe Matt, one for you to wrap things up. You mentioned the expectation for a slight favorable change in working cap here in the second quarter, and if you could put dollar amount around that?
Matthew Giljum: Yes so Nate, I guess, the way I would look at it, you know, maybe starting with a little more detail around the inventory then we saw for the quarter, some of that, as I mentioned, we are going to likely be viewing as permanent. And so you know, just using rough numbers, we built about $50 million of inventory during the quarter. And it is probably fair to say that, two-thirds to three quarters of that is probably not going to reverse this year. So if you look at what that means for the remaining build for the quarter, it is roughly about $130 million. We will see some favorable trends in receivables, as I mentioned, the provisional pricing impact will get offset a little bit primarily by vessel timing. But I would say of that remaining working capital build that we do expect to turn there is probably no more than 25% of that would turn in Q2 and the rest falls probably in the back half of the year. Obviously, all of that dependent on where med prices go from here but assuming prices where they are that is how I think it would play out.
Nathan Martin: Very helpful Matt, I appreciate that. I will leave it there guys. Thanks again for timing and best of Luck.
Paul Lang: Thank you Nate, you bet.
Operator: Next question comes from Michael Dudas with Vertical Research Partners. Please go ahead.
Michael Dudas: Good morning gentlemen. First - more on West Elk how what how has the market been? I mean, any indications of the that product and what is certainly there is been the decline in reversal and pricing on the term, are there any thoughts on that market and as you ramp back up you know the health of that going into when you get back to normalize the production, which I guess you indicated would be in Q4 of this year?
Paul Lang: Yes Michael, look, I think, clearly disappointment and what we have encountered, overtime West Elk has been a great reserve base, we are in the southern reaches where we are currently mining in sequence right now of that reserve base and ran into an unexpected kind of insane issue with the clay layer and that is just caused our overall quality and production issues. We are managing through that and as we indicated, mid third quarter, we expect to be in better areas of the reserve base and have the issue behind us. From a market perspective, we are dealing with that we are working with the customers to manage the reduction in volumes. Even with the softening in the thermal markets that we see a couple things, one, West Elk does supply into the end of the domestic market, both utility and industrial, and with some of the issues that are occurring in that region from a production standpoint we are seeing that that coal is still needed. So we are excited to work through this and get back to where we need to be. And even in the international arena, despite the softening of market prices, it is still - that is back to an attractive return. So our focus is to get back on sequence and get back to where we expect West Elk to run, the team is doing a great job of managing it there and get back to where we need to be.
Deck Slone: And Mike it is Deck. When you look longer term for West Elk, it is a pretty positive outlook. When you think about overall thermal consumption in the U.S. has been coming down, systematically since 2008. When you certainly look at when and so we are going to continue to see that for the PRB assets, that market continues to get smaller, as we see coal based power generation shutdown. West Elk actually has some large industrial customers that really are committed to coal and plan to run on coal for the foreseeable future. And so we can really see West Elk continue to make a meaningful contribution over the life of the reserve base there and we certainly have 10-years or more at West Elk. And so West Elk can continue to roll on and of course, when the window is open and the seaborne market, it is a highly profitable mine as we have seen. As John noted right now, even with prices in international markets down somewhat and Newcastle’s sitting at $190, that is a net back at West Elk close to $100. And so we continue to see West Elk as a highly profitable component for our thermal segment and quite frankly, it is probably half the EBITDA from thermal in sort of normalized times and as indicated while the PRB over time is going to its opportunity is going to be declining. West Elk may not experience that same level of erosion.
Paul Lang: Really the other point I would add is I think Deck did a good job of framing up. Our expectations longer term, let’s talk are fairly positive. The other factor that is out there is while the quality of the coal is better than Newcastle that quality continues to improve overtime. So our outlook for West Elk if anything, look we have hit a little bump in the road but longer term I think we are feeling really good about that mine.
Michael Dudas: Thanks that is very encouraging and equality is sense of heat and sulfur or anything else that is unique?
Paul Lang: Well, the quality we shipped even today out of West Elk is better ash and better CV value than Newcastle.
Deck Slone: And that current finds won’t go up Mike overtime.
Michael Dudas: Excellent, thank you. Paul and John, could you assess performance of transportation logistics that you witnessed in the quarter and what you are seeing today at East and West. And again, we have seen changes in shipments or pricing for vessels and none of what the real guy is saying but any significant or meaningful changes in impacts that that you can you share with us?
Paul Lang: So, you know, last three months on, let’s start - it is a little bit different stories to the West. So I will start in the East. The East started off a little slow, but as the quarter ran on, really could not have any issues with the service that we received, particularly out of CSX. The railroad ran well and, by and large, the ports ran well also. So we feel we are in pretty good shape going forward. The West is a little bit of a different story. January and February were pretty rough month, particularly in the Powder River Basin and while we did see a little bit of improvement in March, and we are seeing a little bit more incrementally in April, it was not the greatest performance we have seen. So the West - are struggling to keep up with the improvements that we have seen in the East. On the pricing, you know, obviously we are heavily tied to the international marks. And while we did very well in Q1, we will see a little bit determination in Q2. The other thing that is going to hurt us a little bit in Q2 is the rail road is one quarter off the current rate. So we will see the higher rail road in Q2, and it will be adjusted then into Q3.
Michael Dudas: Excellent. Thanks gentlemen.
Paul Lang: Thanks Michael.
Operator: This concludes our question-and-answer session, I would like to turn the conference over to Paul Lang for any closing remarks.
Paul Lang: Well, thank you again for your interest in Arch. As you could see, 2023 is off to a strong start, and the Arch team is executing at a high level. While the global coking coal market is experiencing a soft patch one that we believe could ultimately prove to be constructive. We remain focused on driving forward with our strategy for long-term value creation in every facet of the business with each passing quarter we believe our story is becoming sharper, simpler and even more compelling. With that operator will conclude the call and we look forward to reporting to the group in late July. Stay safe and healthy everyone.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.